Executives: Michael Porter - President, Porter LeVay & Rose Joseph Mannello - Chief Executive Officer Joseph DiPietro - Controller
Operator: Thank you for standing by. And welcome to the MYOS RENS Technology Fourth Quarter and Year End 2017 Earnings Conference Call. Joining us today are Mr. Joseph Mannello, Chief Executive Officer and Mr. Joseph DiPietro, Controller of the Company. As a reminder, all participants are in a listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. I would now like to turn the conference over to Michael Porter, President, Porter LeVay & Rose Investor Relations. Please go ahead.
Michael Porter: Thank you, Christine. Good morning ladies and gentlemen. And welcome to the MYOS RENS Technology fourth quarter year end conference call. The Company expects to make forward-looking statements during today’s call. Statements include words such as, belief, anticipate, expect, and statements in the future tense are forward looking statements. These statements involve known and unknown risks and uncertainties and based on management’s current view and assumptions regarding future events and operating performance. A number of factors could cause the Company’s actual future results to differ materially from its current expectations. These statements have not been evaluated by the Food and Drug Administration. Our products are not intended to diagnose, treat, cure or prevent any disease. I would now like to turn the call over to the Controller of MYOS, Joe DiPietro. Joe?
Joseph DiPietro: Thanks, Michael. Good morning everyone. I am just going to review our financial highlights. For the fourth quarter of 2017, our net revenues increased 480% to $157,000 compared to $27,000 for the fourth quarter of 2016. Our gross profit was $93,000 compared to zero last year the same time period. Our gross profit margin for the fourth quarter this year was 59%. Operating expenses increased 56% to $1,173,000 compared to $752,000 for the fourth quarter of 2016. Our net loss increased 44% to $1,000,082 compared to $752,000 for the fourth quarter of 2016. For the year ended December 31, 2017, our gross profit margin was 41% compared to 2% for the prior year. Our net revenues increased 51% to $526,000 compared to $327,000 for the year ended December 31, 2016. Our gross profit increased 2,625% to $18,000 compared to $8,000 for the year ended December 31, 2016. Operating expenses decreased 1% to $4,000,286 million compared to $4,000,315 million for the year ended December 31, 2016. And our net loss decreased 7% to $4,000,058 compared to $4,341,000 for the year ended December 31, 2016. Our liquidity as of December 31, 2017, the Company had no debt and had $2.4 million in working capital. During the year ended December 31, 2017, the Company raised approximately $1.1 million from the sale of 500,000 shares of common stock at $2.14 per share, subsequent to year end and raised approximately $287,000 from additional shares of $140,295 of common stock or $2.11 per share through our at-the-market program with H.C. Wainwright and Company, LLC. Now, I’d like to turn the call over to our Chief Executive Officer, Joe Mannello.
Joseph Mannello: Thank you, Joe. First of all, I want to start by saying a few words about our financial results for 2017. We were able to get our cash burn rate down through some smart cost cutting measures, while utilizing our resources and sales and marketing in a much more focused manner. However, the idea of continually losing money even in what is essentially a biotech company is an anathema to me. And I am committed to changing this over the next 12 months. I will continue to look at our costs and make cuts where needed. I believe the best way to get our burn rate down, however, is through cost-effective methods of revenue generation. I'm often asked why I took on the CEO position on a permanent basis last September, giving up my salary in exchange for four dollar stock options, while taking on a two-year commitment at the same time. At the same time, I also purchased more stock in the open market during the fourth quarter of last year. The answer is simple. I did it because I see tremendous potential for this company. I invested in Myos because I believe in Bob Hariri's idea that if you could find a product to improve muscle health, a great benefit and a great opportunity existed. Bob convinced me that the product to accomplish this is Fortetropin, and I believe he is right. Fortetropin, which is available exclusively by MYOS, we own it and it's protected by a patent, is a disruptive and beneficial product that improves muscle health. There is truly nothing like it that I can find in the market. MYOS proved Fortetropin's value in a University of Tampa study back in August of 2014. Subjects in the study taking Fortetropin increased their lean muscle mass nearly three times more than placebo subjects. When this was announced, the market cap of the company rose up to $50 million, much, much higher than it is today. I believe that to realize the full potential of Fortetropin, we need to expand on examining its scientific potential. That was the original intent of the company, which is building value through science. To this end, we have initiated the following three research programs that we believe could create significant commercial opportunities for the company. The first one is our program at the University of California, Berkeley, which will evaluate the impact of Fortetropin on the rate of muscle synthesis in 60 to 75-year-old men and women. We believe positive results will lay the foundation for products addressing age related muscle loss. Our program at Kansas State University is evaluating the impact of Fortetropin to reduce disused muscle atrophy associated with orthopedic surgery in dogs. We believe positive results would lay the foundation for launching our pet product as well is initiating human studies for recovery and rehab in post orthopedic surgeries. And now which we announced recently, the research program at Rutgers is focused on discovery of compounds and products for promoting the development of muscle tissue. And I can ensure you this isn't all we will have. We are actively engaged in discussions with principal investigators at leading academic institutions to explore additional research opportunities. We believe that these research programs have the potential to create new market opportunities for the Company, thus resulting in increased shareholder value. On our product and brand development, we have shifted our focus in educating consumers on the inherent benefits of taking Fortetropin in conjunction with exercise. The sum is greater than simple exercise and that Fortetropin is protein's perfect partner. We have received enthusiastic responses that confirm we are heading in the right direction. We will be releasing an upgraded version of our product Web site over the next month. Its focus will be on Fortetropin, the ingredient rather than solely on our brands. We found that the different brand names sometimes confuse consumers causing stagnation in new sales. On this new Web site we are dedicated towards improving delivery of the educational message of Fortetropin by eliminating all the noise and making the shopping cart function much more easily acceptable. We believe the upgraded site delivers a clearer message to consumer and is much more checkout friendly, and help consumers in purchasing products quickly and conveniently. Once we launch the new site, we’ll be using social media as well as key influencers to get our message out. On the sports nutrition front, we attended the Arnold Sports Festival, March 2, 2018 to March 4, 2018, and had a great booth at the Expo hall. Our intent was to educate retailers, distributors, multilevel marketers and individual consumers on what Fortetropin is, and the response was tremendous. Most of the feedback we received was extremely positive, with many visitors impressed by the sizable amount of science behind Fortetropin, particularly when compared to the other products at the Expo. This has led to several follow-up meetings with potential customers that may be a meaningful driver for revenue over the next six to 12 months. On our relationship with IMG, we are launching our Collegiate program soon and we’ll begin to introduce Fortetropin to Division I schools, thanks to our relationship with IMG and we’ll continue to expand these introductions over the next few months. We will also be introducing it to pro sports teams, as well as cross-fit and other endurance format athletes. I want to reiterate the importance of our relationship with IMG. As mentioned earlier, cost-effective revenue generation is key to our growth strategy. The cost of building a marketing team that is as big and influential as IMG would far surpass our capabilities. Having IMG generate opportunities for MYOS to introduce our product to major sports and nutrition institutions is a tremendous win for the company. Our pet product, I am very excited about the potential for our Fortetropin pet product, which we hope to launch in the coming months. We have done some informal observational studies with older dogs and the anecdotal evidence has been outstanding. We’ve had two veterinary hospitals seeking to purchase the product after seeing results in their own informal studies. We believe that all of the positive feedback that we’re receiving along with the potential positive results from our Kansas State University study will enable us to launch and grow our pet business product line. In conclusion, as CEO of MYOS, I can assure you that my focus is to create shareholder value. I agree to a two-year commitment, because I believe that I can and will create that value in this time period. And in order to further communicate our story going forward, we will hold quarterly conference calls. We have laid out the vision of where we are headed as a firm in our investor presentation. Please feel free to take a look. And I am happy to answer any questions you may have.
Joseph Mannello: Okay. I guess I did such a great job there's no questions. But I want to let you know, I am always available, you can call me in the office and either Joe or myself will answer any questions regarding the financials or whatever we can do to rest assure you that our focus is on building shareholder value. So please feel free to call us, email us or get in touch with us any other way. So thank you for taking the time and I look forward to a tremendous 2018.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.